Operator: Ladies and gentlemen, thank you for standing by, and welcome to the SBA Fourth Quarter Results. At this time, all lines are in a listen-only mode. Later, we will conduct a question-and-answer session. . And as a reminder, today's conference is being recorded.
Mark DeRussy: Good evening, and thank you for joining us for SBA's fourth quarter 2020 earnings conference call. Here with me today are Jeff Stoops, our President and Chief Executive Officer; and Brendan Cavanagh, our Chief Financial Officer. Some of the information we will discuss on this call is forward-looking, including, but not limited to, any guidance for 2021 and beyond. In today's press release and in our SEC filings, we detail material risks that may cause our future results to differ from our expectations, our statements are as of today, February 22, and we have no obligation to update any forward-looking statement we may make. In addition, our comments will include non-GAAP financial measures and other key operating metrics. The reconciliation of and other information regarding these items can be found in our supplemental financial data package, which is located on the landing page of our Investor Relations website. With that, I'll now turn it over to Brendan.
Brendan Cavanagh: Thank you, Mark. Good evening. SBA had a very strong end to the year with fourth quarter results near the high end of our outlook for all key financial metrics. Total GAAP site leasing revenues for the fourth quarter were $493 million, and cash site leasing revenues were $492.8 million. Foreign exchange rates were a $3.5 million tailwind to revenues when compared with our previously forecasted FX rate estimates for the fourth quarter. They were, again, however, a significant headwind on comparisons to the fourth quarter of 2019, negatively impacting revenues by $17.7 million on a year-over-year basis. Same tower recurring cash leasing revenue growth for the fourth quarter, which is calculated on a constant currency basis, was 4% over the fourth quarter of 2019, including the impact of 2% of churn. On a gross basis, same tower growth was 6%. Domestic same tower recurring cash leasing revenue growth over the fourth quarter of last year was 5.7% on a gross basis and 3.4% on a net basis, including 2.3% of churn. Domestic operational leasing activity or bookings, representing new revenue placed under contract during the fourth quarter, was at the highest levels of the year. We saw continued increased activity levels with T-Mobile during the quarter, and our domestic application backlog continues to grow. During the fourth quarter, amendment activity represented 88% of our domestic bookings, with 12% coming from new leases. The big three carriers represented 94% of total incremental domestic leasing revenue signed up during the quarter.
Mark DeRussy : Thanks, Brendan. We ended the year with $11.2 billion of total debt and $10.8 billion of net debt. Our net debt-to-annualized adjusted EBITDA leverage ratio was 7.1 time. Our fourth quarter net cash interest coverage ratio of adjusted EBITDA-to-net cash interest expense was 4.4 times. After year-end, on January 29, 2021, the company issued $1.5 billion of unsecured senior notes due February 1, 2029. These notes accrue interest at a rate of 3.125% per year, and interest is due semiannually on February 1 and August 1 of each year, beginning in August 1, 2021. The net proceeds from this offering were used to fully redeem all of the outstanding 4% senior notes to pay all premiums and costs associated with such redemption to repay the amounts outstanding at the time under our revolving credit facility and for general corporate purposes. As of today, we have $630 million outstanding under our revolver. And pro forma for the January unsecured notes issuance, the weighted average interest rate on our outstanding debt is 3.1%, with a weighted average maturity of approximately 4.7 years. During the fourth quarter, we repurchased 1.7 million shares of our common stock for $480 million or an average price of $290.89 per share. Subsequent to year-end, we have repurchased 549,000 shares for $144 million or an average price of $262.16 per share. All the shares repurchased were retired.
Jeff Stoops : Thanks, Mark, and good evening, everyone. We had a strong finish to 2020 with solid financial and operating results. The fourth quarter was our best quarter of the year in terms of organic leasing activity and services results, and we added a number of high-quality assets to our portfolio. We produced $2.49 of AFFO per share, or $0.01 short of an annualized rate of $10 per share. Our AFFO per share for the quarter represented material growth over the prior year period and demonstrates the value creation capability of this business. We also continued to invest in our company through material share repurchases, buying back 1.7 million shares in the fourth quarter and we did not slow down as we moved into 2021. Since year-end, we have signed up and closed on our large and exciting transaction with PG&E, repurchased an additional 0.5 million shares of our stock and signed up a master lease agreement with DISH. All of these activities will have long-lasting positive implications for SBA. We've demonstrated our ability over the years to find specific targeted opportunities where we can add assets at accretive prices and bring our expertise to bear in extracting and maximizing value. We're particularly pleased with the PG&E transaction. We've added a large number of high-quality, exclusive locations in Northern California to our portfolio at what we believe is an attractive price. We believe our experience and operational expertise will allow us to maximize the potential for wireless use of these assets for the benefit of both our wireless carrier customers and PG&E. With regard to our domestic leasing business, our customers are all turning their attention toward their 5G network investment plans. The significant investment in the current C-Band auction is evidence of the critical role that mid-band spectrum will play in the deployment of next-generation networks. And as a result, the importance of macro tower sites in the next wave of network investment. We believe it has been well settled that the primary use of C-Band spectrum will be on macro sites outside of urban markets.
Operator: Okay. . Our first question comes from the line of Rick Prentiss with Raymond James. Please go ahead. Your line is open.
Richard Prentiss: Hey, thanks. Good afternoon, guys.
Jeff Stoops: Hey, Rick.
Richard Prentiss: Hey, a couple of questions. Jeff, obviously, the PG&E transaction is a pretty major transaction. Can you walk us through a little bit about 2021 guidance? And how much revenue there is associated with the tower cash flow? I assume not much operating expenses at their sites. But then also take us down maybe to EBITDA because I'd also expect not a lot of below the line costs.
Jeff Stoops : You're right on both counts. Brendan?
Brendan Cavanagh : Yes. Rick, so if you look at our bridge for 2020 and 2021, we've got about $40 million of non-organic revenue coming in. I would say, the majority of that, $35-ish million of that, is coming from PG&E.
Richard Prentiss : Okay. And how about on the EBITDA area? Is it in that kind of $30 million, $35 million range on?
Brendan Cavanagh : Yes. It's within a couple of million dollars, because there's no -- the key thing is obviously the ground rent. They own the majority of land or have rights to it, so there's really no ground rent expense at all. So the margins are extremely high on this. So the vast majority of the revenue drops through to the bottom line.
Richard Prentiss : Makes sense. And then, Jeff, obviously, one of the big debates out there in the marketplace right now is the growth rates of -- in the U.S., same tower revenue, net organic cash, as we call it. Given the law of large numbers, churn, long-term, not to give you a $10 number like you had years ago, but can we get back into the mid-single digits? What's your view as kind of where the sustainable kind of long-term growth rate is in the U.S. side on a net organic cash basis?
Jeff Stoops : Yes. I do think we can get -- I don't know if we can get to double digits, but I do think we can get to upper single digits. I think what's happening this year is, if you think about it, you got a couple major carriers who are rumored to be heavy into the C-Band auctions, which means that there's going to be a lot to do. And if there's going to be a lot to do, you know there's going to be a lot to do, and you might push off what you can do today until tomorrow. And then you have one carrier in the name of DISH, who's already told you very clearly when they're going to start doing things, it kind of makes -- I think it's pretty clear as to the pace of things and the timing of things in 2021, but then it sets up for a very, very attractive 2022, particularly over 2021 comparable.
Richard Prentiss: Makes sense. And then how should we think about the churn impact? DISH also on their call today was talking about T-Mobile had given DISH notice that they would turn off the CDMA. I don't think they said VoLTE, but they said they would turn off the CDMA network January of 2022. How should we think about the T-Mobile-Sprint relationship you guys have? And what the churn outlook looks like?
Brendan Cavanagh: Yes, Rick. So we've already -- I think we announced on our previous call that we've already received some non-renewal notifications from T-Mobile. And just to give you some numbers, for next year, 2021 being next year, that represents about $4 million to $5 million of the impact to our revenue loss. In addition to that, in our outlook, we expect, based on when leases come up and communications we've had already, that will probably be somewhere - an additional $3 million or so from them. As we look out over the future years, right at this point, we're basically measuring it based on where we have overlapping sites and what the timing is when those leases come up. That puts the majority of the terminations in terms of their financial impact for us in 2025 and 2026. We will see probably about 30% of the total exposure over the next three years.
Jeff Stoops : Yes. And obviously, we'll be well suited to talk to DISH about any of those sites that T-Mobile decides they no longer want.
Richard Prentiss: Makes sense. Thanks, guys. Stay well.
Operator: Our next question will come from the line of Jon Atkin with RBC. Please go ahead. Your line is open.
Jonathan Atkin : Thanks very much. Yes. I just wanted to get a sense of some of the organic U.S. growth drivers this year that you alluded to around C-Band and DISH. Anything that you're seeing kind of so far this year around application activity that gives you a sense of when the timing would be around rent commencement? And then if you don't mind also addressing some of the smaller potential drivers, U.S. cellular, cable as well in the context of C-Band? Thanks.
Jeff Stoops : Yes. We really have not included any C-Band revenue in our 2021 guidance -- leasing guidance and the same with DISH. Now there certainly are arguments and optimism that, that could change, and things could happen where we do realize that, but it's not in there today, Jon.
Jonathan Atkin : Okay. And then on Rick's question about the Sprint T-Mobile, on the keep sites project, are you getting any sense as you think about churn and the guidance that you gave, but any variability around where you're getting to get informed about the sites to get kept as part of that? How does that kind of play into your thinking? And where are they in that process?
Jeff Stoops : Well, we've received quite a bit of information already, which we've been able to share with you on our outlook. But we're not -- we don't know that we've received at all.
Jonathan Atkin: Right.
Jeff Stoops: But we've had -- I mean, based on the timing of notices and things, I would tell you that I think we have the lion's share of the information already at this point.
Jonathan Atkin: Okay.
Brendan Cavanagh: As it relates to this year, as it relates to 2021.
Jeff Stoops: As it relates to 2021. Yes.
Jonathan Atkin : Got it. Any update on SBA Edge?
Jeff Stoops: Yes. We continue to have a number of opportunities that we're pursuing to actually move forward and tie. What we're focusing on, Jon, is the areas around the data centers to work on the direct ties between true mobile edge at the tower site type facilities, which have direct connections back, and we've got a number of different things that we're working on there. And we would just ask you to stay tuned there because we think there continues to be a lot of exciting opportunities and things that we can do there. But I think it's…
Jonathan Atkin: Thank you very much.
Jeff Stoops: …it will be not a material contributor to 2021.
Jonathan Atkin: Got it. Thanks so much.
Operator: And our next question will come from the line of Walter Piecyk with LightShed. Please go ahead.
Walter Piecyk : Hi, Jeff. On past calls, you and I have had these kind of dialogues about like timing of orders versus revenue and like how long it takes to execute. So just curious in terms of C-Band. Shouldn't you, by the end of the second quarter, have orders? If we -- if you should be able to get any type of revenue in calendar 2021, I mean, if not even by the end of this quarter. Can you just refresh our memory on the timing of that? Because the reason I ask, obviously, because Verizon is out there telling people, I think historically that, "Oh, yes, we can get C-Band built really quickly." And I think we have to back up to those days and actually see orders that's like 9 months, maybe more from when they would be activated and generating revenue for you? And prefer not to talk about a customer, just you can submit AT&T or T-Mobile or whatever. You know what the question is.
Jeff Stoops : It's not quite 9 months. Well, we probably have, at the absolute minimum 4 but more likely 6.
Walter Piecyk : Okay. So if we're to believe the ability to light up a C-Band market, then we should be hearing from tower companies, whether you or someone else C-Band orders by June 30, is that fair? Okay.
Jeff Stoops : .
Walter Piecyk : Also DISH mentioned the substantial minimum lease agreement. Is there a time -- like how does that work? Is it meaning like they agree to X dollars in 2022? How does that work? Or is it just over the life, they're going to pay you X? Which is it?
Jeff Stoops : It is a number of leases. It is not -- it is -- if you could look at it as one because there are certain dollar parameters that we've agreed to per lease, but it is a minimum site.
Walter Piecyk : Got it. So that doesn't give us any sense on timing. It's just like he told you, we'll put up X thousand sites at some point over the next Y years.
Jeff Stoops : Well, we do have some time breaks in there. So there are -- it's a little more defined than that. But -- so over the life of the contract, before all the commitments are ultimately due, but there -- it's not only until the end are they due. There are some due for a long time.
Walter Piecyk : And then just last question. Have you seen -- another one of my favorite topics, have you seen any initial deployments of massive MIMO antennas? I think there was some issue in terms of ramping up production with certain spectrum bands. Maybe that has to wait for C-Band, I don't know.
Jeff Stoops : We've been seeing that for a while with T-Mobile-Sprint on the 2.5G.
Walter Piecyk : Got it. So -- I'm sorry, I guess I should be more specific. I think there might have been issues in terms of the MIMO antennas having ported for C-Band, but I guess it's -- why would that be occurring until the auction is over. So I will reserve that question for a future quarter. Thanks, Jeff.
Jeff Stoops : Yes.
Operator: And our next question will come from the line of Nick Del Deo with MoffettNathanson.
Nicholas Del Deo : So you guys noted that your leverage is going to be above your target post-PG&E, but trend down organically over the course of the year. Does that mean that any share repurchases or then activity are going to be somewhat restrained through year-end? Or would you be willing to stay above your target leverage for longer if the stock is attractively valued and you buy some more or if other M&A opportunities surface?
Jeff Stoops : Well, it means we don't have to rush, but we would like to be at the high end of the target or below by year-end. But that statement gives us quite a bit of flexibility.
Brendan Cavanagh: Yes. We have, just to be clear, Nick, I mean, we have plenty of capacity to continue to do typical levels of M&A and buybacks and still be within our target leverage range at the end of the year.
Jeff Stoops : I think the key answer to your question is, are you going to rush to do it in 1 quarter? Or are you going to wait until the end of the year to preserve maximum flexibility? And the answer is the latter.
Nicholas Del Deo : Okay. Okay. That's helpful. And then related to the DISH deal, obviously, one of your peers has talked about getting more than their proportionate share of business from DISH by virtue of their deal. Do you feel like you're well positioned to get your fair share of new business? And do you feel like you were well served by waiting some extra time to sign the deal?
Jeff Stoops : Based on the firm commitment that we have, the answer is yes. So I guess the answer to your second question is yes.
Nicholas Del Deo : Okay. That's good to hear. Maybe one more if I could squeeze it in. Has T-Mobile's leasing activity been recovering in the way you had expected it would a quarter or 2 ago? Or has it come in a bit slower?
Jeff Stoops : No. I think T-Mobile is doing just as we thought. They're very busy, very active, very deliberate, very, very -- they're a force. There's -- it's all very busy, and we see a strong year ahead for them.
Operator: And our next question will come from the line of David Barden, Bank of America.
David Barden : I guess, first, Jeff, now that you've kind of done this PG&E deal, there's been a gulf between the tower sector and the utility sector for a long time that this deal seems to kind of cross. And I'm wondering if there's a new kind of total addressable market opportunity that you’ve kind of on forward tier as a function of that. The second question, Brendan, would be from -- maybe 2 for you, Brendan, would be, first, on the international churn, is this the number around $10 million a year, that's the new normal that we should expect on a go-forward basis? And then with respect to the PG&E deal, specifically, relative to that 35, is that going to be run rating at 8 to 9 in the first quarter? Or does it kind of graduate up to that 35 over the course of the year?
Jeff Stoops : Yes, why don't you go first, then I'll wrap it up with the more philosophical.
Brendan Cavanagh : Sure. Yes. Well, I'll take the last one first. On the PG&E piece, it does step up a little bit during the year, but it's relatively small, David. I would expect it to not be significant steps up. There are escalators that are built in, and we would expect a modest amount of new lease-up. Obviously, we just brought these sites into our portfolio. So there will be some step up, but it will be generally run rated at the same pace. Of course, the first quarter will obviously be materially lower than the other quarters as we only have it in our portfolio for half the quarter. But on a run rate basis, it will be very small step up throughout the year. On the international churn side, the $10 million is definitely not the new normal. There are some specific things that are driving that number up. I do expect it, though, to be elevated probably next year as well. It's hard for us to say exactly what the number will be because we are in the midst of discussions with the carriers, where there's been some consolidation as well as the other customer where we've had some work with them to try and help them through some issues that they have. So I do expect that there will be additional impact next year, but the exact amount remains to be seen. But eventually, we'll get through those issues, and I would not expect to be at that level long-term.
Jeff Stoops : Yes. In terms of whether this opens up a new source of relationships between tower companies and utilities, David, I mean, I think it remains to be seen. It's not the first. There have been a couple of other transactions between tower companies and utilities. They were not involving any of the publics, however, so this might be the third. And this one was fairly unique in particularly as to its geographic location, but we'll see. We've actually had more than a couple of inquiries. Utilities have very different primary considerations that they have to think about and it has to fit bearings, but we found certainly, in the case of PG&E that it did, and I'm sure that those characteristics could be met again. And because it's never the primary, and frankly, can't be the primary focus of a utility company to make tower leasing top of mind or the number 1 thing they think about, there's always going to be an element of improvement that can be an arbitrage there for the benefit of everyone. So we'll see. We'll see.
Operator: And our next question will come from the line of Colby Synesael with Cowen.
Colby Synesael : I just actually have 2 points of clarification and then just 1 quick question. First off, point of clarification, Jeff, when you're saying you think you're going to get back to high single-digit domestic growth...
Jeff Stoops : I said mid, but go ahead.
Colby Synesael : I was going to ask if you're speaking about gross or net? And then my next question just real quick. When you said you're expecting T-Mobile churn for 2021, I heard 4 and 5 and I heard 7 and 8. Are you saying you were previously thinking 4 to 5, and now it's 7 to 8? And then my last question, the 299 sites that you've already committed to acquire, can you give us some color on where those sites are?
Jeff Stoops : On the Sprint T-Mobile piece, it was $4 million to $5 million is the number based on what we've already specifically received notices on. The incremental $3 million is an estimate that we've included in our outlook in churn assumptions that we put forth in our bridge, for instance, that's not yet been specifically noted to us, but we are estimating based on what we see in terms of the timing when those leases come due. The 299 lease -- or sorry, sites that are under contract from an M&A standpoint, the vast majority of those are located internationally, but they're spread out. There are some in, I think, the biggest country is South Africa, but there's some throughout Latin America as well. And your first question is on the growth rates. Yes. I think the question was about net. And we're thinking -- we believe that there is an opportunity to see that go back up to mid-levels, above 5, I guess, you could consider more than mid, but we think there's opportunity with all the growth that's out there. The biggest challenge, frankly, on that, Colby, is really about the churn, the Sprint T-Mobile churn. I mean, if you figure that in, that's certainly going to weigh on it. But if you put that aside, there certainly is an opportunity from the growth set that's in front of us.
Brendan Cavanagh : Actually, I thought Rick's question was gross so.
Colby Synesael : So mid-level is a tough 5% net long-term domestic, you think is a reasonable expectation?
Jeff Stoops : Yes. And obviously, higher gross.
Colby Synesael : Yes. And then just actually one real other quick one. You said that PG&E hasn't closed completely. What else is still left to close?
Jeff Stoops : There's a small number of sites. So the total purchase price is about $973 million. We've closed on $954 million of that, so the vast majority of it. There's some number of sites that have certain specific issues that have to be addressed, but we expect them to be cleaned up in the next 6 months, and those sites will just close later.
Operator: And our next question will come from the line of Brett Feldman, Goldman Sachs.
Brett Feldman : So when we look at the expected leasing from the major wireless carriers, virtually all of the spectrum that they'll be deploying that they haven't used is at frequency ranges that's higher than what they have in their networks today. And so what that would imply is that their existing site grids are insufficient to fully utilize those bands. And so with that as context, that sort of leads to 2 questions. One, as you look out and expect that leasing activity is going to ramp, as some of these spectrum bands get deployed, you've been very amendment heavy for a while with your leasing. I'm wondering if you do expect or maybe even have visibility into that being more balanced between new colocations versus amendments? And then the second is, I'm wondering, do you think that perhaps the nation's power grid is insufficiently dense such that there might be an emerging opportunity to do to a step up here of development of U.S. towers because historically, I think that has actually been your highest return on investment?
Jeff Stoops : Yes. I think amendments will always play a big role, Brett, because they're the most efficient and I think economically beneficial for our customers. And then I think existing structures will get colocation because the existing regulatory regime tapers that. But yes, there'll be some more towers still. There's no question, not only because of the spectrum propagation, but because, I think on a perhaps totally unrelated reason, there's going to be a fair amount of emphasis on closing the digital divide and just bringing broadband to everyone, which is clearly going to require that some more towers get built.
Brett Feldman : Got it. If I could ask a quick follow-up, just around the same concept of densification. We know your opinion around small cells, but I'm wondering if there's any other emerging areas in infrastructure, maybe rooftops, where the economics could potentially become more favorable as these mid-band spectrum ranges are being deployed versus historically?
Jeff Stoops : I think it has to depend on the facts and circumstances. I believe that wherever you can get a true tower, a macro site that always gives our customers the most bang for their buck, but I do believe you will see this spectrum used in conjunction with small cells as well in areas where you just don't get towers. It doesn't mean those areas aren't going to be served, they're going to be served by alternate architecture.
Operator: And our next question will come from the line of Phil Cusick with JPMorgan.
Amir Rozwadowski : This is Amir for Phil. Brendan, can you help us by talking about the pace of activity in 1Q '21? And should we expect slower activity in 1Q than 4Q? And Jeff, can you talk about how much is built into this guidance for the announced this deal? Is that expected to be material this year?
Brendan Cavanagh : Yes, Amir, so our outlook for '21 does assume a pace of activity that is increasing throughout the year, so it's definitely a little bit slower is our assumption here at the beginning of the year, and it picks up in the latter half of the year. That's consistent with our comments we've been making around C-Band and the DISH MLA, all those things will certainly drive more leasing activity in the latter half of the year. But even then, the impact of that to our financial statements will be limited because of the timing of signing up new agreements to when they actually start to recognize revenue. So I don't -- it will step up, I believe, throughout the year, but I think you'll start to see the benefits of that increase next year or late this year.
Jeff Stoops : And in terms specifically of DISH, while we could see some leasing revenue, there's none really contemplated in the guidance and very little contemplated in the services revenue guidance. Although, again, depending on timing, it could be better.
Amir Rozwadowski : And with Brazil, we've heard this business is slow, but this is lower activity than we kind of expected. Can you talk about the pace of activity over the last 6 months? And what you expect it to be going forward?
Jeff Stoops : Yes. Brazil has had a couple of issues that have been impacting it, the overhang of the Oi transaction, which is working itself through, which we think, long-term, will be favorable. For us, it looks like TIM will get most of those -- well, not most, but the predominant amount of those assets with Claro next, and then Telefonica the third or the last lease amount, which bodes well for us from an overlap perspective. And then obviously, they've had their issues with COVID. So as those things settle out, Brazil is actually expected to have quite a material jump in their GDP moving from 2020 to 2021. So as those things kind of play themselves out, yes, we do expect Brazil to get back to its best growing self.
Amir Rozwadowski : And one final one, if I may, with PG&E recently through bankruptcy, what's kind of the protection can you guys have if that happens again?
Jeff Stoops : Yes. We've got pages and pages and legal fees and legal fees that we’re addressing at that point. The structure of the deal, the regulatory posture of where we sit versus where PG&E sits well into this deal, I could spend quite a bit of time with you on that, but I could also just say we're covered.
Operator: Our next question will come from the line of Eric Luebchow with Wells Fargo.
Eric Luebchow : I just wanted to follow-up on the PG&E acquisition. Obviously, the 700 sites you acquired and then the additional 28,000 you have the right to market. Just wondering kind of the tenants per tower in that portfolio? And then on that 28,000, how many do you really think realistically tenants per tower you think you can drive and colocatability of perhaps some of those sites in terms of growing that portfolio from where it's at today, that would be helpful.
Jeff Stoops : Yes. There are not many tenants per tower on the 28,000 today. I don't think they've ever frankly been marketed. The -- on the existing ones, I think I mentioned in my prepared comments that we have approximately 900 tenants, a little more than 900 tenants across those roughly 700 sites. So it's been a totally kind of carriers have had to seek out the appropriate PG&E folks to -- which is the way it works with a type of relationship, which is why we think we could bring additional value. And to be honest with you, I can't hazard a guess on the 28,000, but I can promise you it'll be something.
Eric Luebchow : Okay. That's fair. And then just one more for me. It sounded like you at least had some additional capacity, perhaps later in the year for either share repurchases or additional acquisitions. So kind of where you sit today, the stock, 20% or so down from where you were at last year. I mean, do you think potentially share repurchases versus acquisitions, how would you think about it? It seems like tower cash flow multiples continue to be greater than 30 times in many cases and your stock is trading well under that. So wondering how you kind of balance your thoughts on capital allocation, given those dynamics?
Jeff Stoops : Well, if you -- if we saw those type of dynamics as you described, that would bear in favor of stock repurchases if we saw more opportunities like PG&E, it would.
Operator: Our next question will come from the line of Simon Flannery.
Simon Flannery : Just wanted to come back to Brazil. I think you'd made a comment about some important spectrum auctions in the international markets. Is -- Brazil has some coming up. What are the other ones that you're focused on? And then coming back to C-Band, given the bidding, there's concerns about the amount of leverage the carriers are taking on, do you think that might change any behavior either in how fast they can deploy C-Band or their kind of outsourcing strategies, et cetera?
Jeff Stoops : Canada has 3.5 gigahertz tentatively scheduled for June. South Africa has an entire suite of 5G spectrum tentatively scheduled for next quarter. Peru has a big one for later this first-half, Chile, Colombia and Brazil. In terms of the money being spent, Simon, I see that and I read that -- I have to assume that our customers know exactly what they're doing, I'm sure that they do. And for that spectrum to have value to them, it has to be deployed. I don't know exactly what the cost will change for them. But ultimately, it's going to have to get put out there. And that's kind of all we can work with. And whether it's 1 quarter, 2 quarters or 3 quarters difference, in the overall scheme of the value creation for us, it really doesn't matter.
Operator: Our next question will come from the line of Batya Levi with UBS.
Batya Levi : In terms of the PG&E deal, can you talk a little bit about the wireless contracts? How they compare to your portfolio, maybe in terms of the tenancy mix, the length of the contract? And if we should assume there could be some T-Mobile Sprint churn in there? And then a follow-up on the churn -- domestic churn this year, is the indication that you're getting from T-Mobile is mostly on the overlapping side, but is there also any coming from sites that are in close proximity?
Brendan Cavanagh: On the tenant mix for PG&E, the vast majority, almost all of the revenue comes from the big 3 wireless carriers. There is some Sprint overlap, which we obviously included any exposure to that in our underwriting assumptions. It's not particularly material, where we have both T-Mobile and Sprint on the same site, and the average remaining term for those tenants is about 7 years. So there's quite an extensive time -- runway left on that.
Batya Levi : Great. And the Sprint T-Mobile churn this year?
Jeff Stoops : All of those sites.
Brendan Cavanagh: On those sites, for this year, we're not really expecting to see any Sprint T-Mobile churn this year. So our numbers that we gave you on our outlook don't include anything for PG&E.
Batya Levi : I'm sorry, for your existing portfolio, the -- about 8 million that you cited, is that mostly coming from overlapping sites, your expectation for it? Or...
Brendan Cavanagh: Yes. So the $4 million to $5 million that we've already been noticed on, almost all of that is on overlapping sites. The remaining $2 million to $3 million is predominantly overlap sites as well.
Batya Levi : Got it. And one more thing maybe on DISH. As we take out some of the equipment for the narrowband IoT network that they had put on your towers, would that show up as churn? Or would that be captured within the new deals that they have with you?
Brendan Cavanagh: Well, it depends on what happens with those leases. There is a potential under our deal with them that they would transition those sites to their new architecture, in which case, it would just simply be an amendment, depending on what the change was there based on the original lease. If they're actually going to cancel a lease altogether and not use that site, then it would show up as churn.
Operator: Our next question will come from the line of Michael Rollins with Citi.
Michael Rollins : A couple of questions, if I could, on Slide 8 in the supplemental deck. So there's been a few different questions around how you may allocate capital in 2021. And just curious, I look at this slide, for the last 4 years, the range of capital allocation dollars in total has been about $1.4 billion to $1.5 billion. And just curious, given everything that you discussed on the call and the guidance that you outlined, is there a range of dollars for 2021 that we should keep in mind? And then you've also put the period ending leverage on this chart over the last few years, and just curious how you look at the influences of what would get you comfortable to keeping net debt leverage at that higher end of the 7.5 times range you mentioned versus the lower end of 7 times? And just finally, I heard that $10 per share AFFO goal mentioned that you set out to reach 5 years ago. I'm just curious if you have a new 5-year expectation that you're considering or you may share with us just to provide a sort of a compass of what that future direction might look like?
Jeff Stoops : Yes. I'll take the last one first, Mike. The answer is no because of the -- notwithstanding how close we came and how proud we are understanding and projecting the operating components of our business, we -- at least through the AFFO per share line, we found that the movements in interest rates and FX were beyond our prognostication capabilities. So we have declined to do that just as of yet. In terms of the amount of potential CapEx that we could spend, I mean, I don't -- I could tell you we can all get to it fairly easily by looking at the EBITDA contribution that is in our outlook. And then if you bought some things versus bought some stock back, and you ended up with 7.5 times net debt-to-adjusted EBITDA, that would produce an amount of capital that would fill in your answer. And I don't know if that's how it's going to end up or not. It will depend on whether we choose stock repurchases or acquisitions or whether, in fact, we actually choose to end the year at 7.5 times. We may choose not to do that. And whether we do choose to do that or not, we could continue to depend on whether we see a very -- continue to see a very benign interest rate environment and whether we continue to feel as optimistic as we do today about carrier activity ramping as we move to the end of the year and into 2022.
Michael Rollins : And just in terms of the leverage, what factors get you comfortable at that high end versus low end of the range? And not just maybe in the moment, but over time?
Jeff Stoops : Well, I mean, over time, that would come down. In the moment, it would be because we found things that based on everything I just talked about, we thought it would be very value creative, we took advantage of it this year rather than letting it go by.
Operator: And our next question will come from the line of Spencer Kurn, New Street Research.
Spencer Kurn : I wanted to follow-up on the trajectory of new leasing activity and organic growth in the U.S. this year. So you exited -- or you ended the fourth quarter with gross organic growth of about 5.7%, and it looks like you're guiding to 5.9% for the year in 2021. And that should sort of steadily -- you expected organic growth to steadily increase throughout the year. Can you just help us understand the cadence sort of when you expect the low point to be? And what we should expect for an exit rate for 2021 to help us understand sort of what growth we could anticipate in 2022?
Brendan Cavanagh : Yes. Spencer, I mean, it certainly will be lower in the first part of the year, the first couple of quarters. We definitely expect to exit the year at a higher rate, not really prepared to say exactly what that is, but at a rate that is starting to ramp back towards where we've been in the past. Obviously, we're kind of at a low, you can tell by looking at our charts, the trajectory of where it's gone to. And we've talked a lot, I think about having a slower year than anticipated last year. That certainly affects what we report, for instance, in the first quarter and second quarter of 2021. But based on our expectations for the increasing activity in the latter part of the year, I would expect that we will exit the year in the fourth quarter at a rate that is higher than the average that's implied by our guidance, and it will build into next year.
Spencer Kurn : Awesome. And just one more. It looks like you've got churn increasing next year largely as a result of Sprint and T-Mobile churn but it still seems like normalized churn, excluding other mergers is still hovering around 1.5%. I've always thought of the long-term opportunity for churn to fall below 1%, do you see a runway to getting there over the next couple of years?
Jeff Stoops : Well, we've been there actually before. If you go back a couple of years ago, we were below 1%. But our historical range is typically between 1% and 2% right now. We're towards the higher end of that. And I would expect that there'll be times in the future where we're higher and times where we're lower, but it tends to fluctuate based on what's happening with specific carriers at specific times.
Operator: And our next question will come from the line of Tim Long with Barclays.
Tim Long : Two, if I could. Number one, maybe just a higher-level question. Given DISH is kind of a new player and the established players looks like they've spent a bunch on the C-Band auction, anything different that we're seeing or that you would expect from pricing or terms of new activity or amendments? And then second, on the CBRS and private side, have you seen any activity there starting to tick up to help as we go through 2021 and into 2022?
Jeff Stoops : Yes. So Tim, on the DISH question, I mean, you say anything different on terms, well, it's actually a very different network. It's kind of the card from the whole full cloth and a clean sheet of paper. So no amendments, it will be brand-new installations of brand-new cell sites, different kind of equipment. So it's very hard to compare. It's just different. So I'm not quite sure what you're looking for in terms of comparing what the DISH terms and particularly rates are compared to, say, an AT&T, a Verizon or a T-Mobile, it's just different. In terms of CBRS, actually, we are. And it's where it's showing up more and more frequently is as a solution to governmental, municipal and school district providers as an elegant and cost-effective solution to bridge some of these digital divide issues that we've all been reading about. And these are some things that we've been participating in and actually are quite a bit excited about. Again, not material this year in terms of financial contribution, but technically and certainly from a community perspective, very exciting.
Operator: Our next question will come from the line of Brandon Nispel with KeyBanc Capital Markets.
Brandon Nispel : Jeff, I was hoping you could quantify the year-over-year change in the backlog number that you referenced at the start of the call?
Jeff Stoops : Year-over-year, well, that was -- Brendan...?
Brendan Cavanagh : Yes. I mean, Brandon, it's hard for me to put an exact number on it. But our backlogs today are much higher than they were a year ago at this time. I can't give you a specific percentage on that. And obviously, the makeup of the backlog has a lot to do with how that plays out in terms of its financial impact, but they're definitely up. There's a lot more applications received.
Brandon Nispel : Fair enough. Different question. Jeff, maybe could you walk us through your thoughts on potentially reaching an expanded MLA with T-Mobile or even reaching one with Verizon, I guess that goes above and beyond the T-Mobile agreement today. And really, what's keeping your business from being more heavily indexed to Verizon given your exposure there is relatively low?
Jeff Stoops : We're not opposed to any MLA with any customer. It's just that we never have been. It's just a question of a mutual agreement. So we do have -- I'm glad you corrected yourself. We do have an agreement with T-Mobile today. It's not, I think, fully holistic. And at some point, it may get there. And we would certainly be very open to those discussions if T-Mobile went at that, I mean just as we were with DISH and have been historically with Sprint and T-Mobile and others. So that's -- it just takes two to tango, right?
Brandon Nispel : Just from my perspective, it would seem as if that there is a caret in that you guys have 70% of your T-Mobile or Sprint leases going off after the next 3 years, and that's 70% of their synergies. So I guess, do you see a win-win coming in the near-term where you can get more clarity on what the potential churn in booking or backlog activity might look like in the more near term?
Jeff Stoops : There are probably a lot of mutually beneficial outcomes that could happen there, Brandon. I don't think I want to negotiate with you over the earnings call.
Operator: And our next question will come from the line of Sami Badri with Crédit Suisse.
Sami Badri : Thank you for also squeezing me in. I just want to make sure I get the numbers right on the churn for 2021. And I think you said $8 million of churn from the T-Mobile-Sprint dynamic. And that's from your currently informed view. Does this mean that churn could potentially come in a little bit higher than that if T-Mobile decides to accelerate some of its cost rationalization and synergies?
Jeff Stoops : Yes. It's unlikely, Sami, because our estimates contemplate pretty much -- the only thing that they can do, there may be small differences, but if it's going to be different, it probably would be slightly lower.
Sami Badri : Got it. Got it. And then my other question has to do with M&A. And I know you've targeted very specific developing markets for your M&A mandates. But given recently one of your peers making a push into Europe, does this change where you may potentially be looking to do deals?
Jeff Stoops : No. We actually look everywhere, but we only act where we think it's clear that we can create substantial value relative to the cost and the risk of the investment and we will continue to look broadly and widely and probably act narrowly.
Sami Badri : Got it. Thank you.
Jeff Stoops : Ryan, we have time for one more question.
Operator: And that will come from the line of David Guarino with Green Street.
David Guarino : Just on my comment on acquisitions. Can you comment on how competitive bidding is for tower assets in Latin America? And the reason I ask is it feels like the past 2 tower transactions we've seen in developed countries are really sought after, and that's been reflected in the full prices that are paid. So are you seeing a similar dynamic in emerging countries?
Jeff Stoops : I would say it's a little bit less pricy, David, but it's still pricing. We have to be very disciplined and very careful and understand what you're buying. And you have to start with the premise that it's only in the United States that you have the tax shield provided by the REIT architecture, which everywhere else, you're a taxpayer.
David Guarino : Thanks for that.
Jeff Stoops : So Ryan, I think we are done.
Operator: Okay. Ladies and gentlemen, that does conclude today's conference. Thank you for your participation. You may now disconnect.